Operator: Good afternoon, and welcome to Funko's Conference Call to discuss Financial Results for the First Quarter 2019. At this time, all participants are in a listen-only mode. Later, we will have a question-and-answer session and instructions will follow at that time. Please be advised that reproduction of this call in whole or in part is not permitted without written authorization from the Company. As a reminder, this call is being recorded. On the call today from management are Brian Mariotti, Chief Executive Officer; Andrew Perlmutter, President; and Russell Nickel, Chief Financial Officer. I will now turn it over to Mr. Nickel to get started. Please go ahead, sir.
Russell Nickel: Thank you, and good afternoon. A press release covering the Company's first quarter 2019 financial results was issued this afternoon and a copy of that press release can be found in the Investor Relations section on the Company's website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These may include statements regarding our business goals, plans, abilities and opportunities, industry and customer trends, growth, momentum and investment initiatives, collaboration and license relationships, consumer engagement and brand awareness, acquisitions and related expenses, and anticipated financial performance. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the risk factor sections of our Form 10-K for the fiscal year 2018 and our other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligations to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted pro forma net income, adjusted pro forma earnings per diluted share and net debt, which we believe may be important to investors to assess our operating performance. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures are included on our earnings release and in the Investor Relations section on our website at funko.com. We have also prepared a visual presentation that investors can follow along with this discussion, and it can be accessed in the Investor Relations section of our website. I will now turn the call over to Brian.
Brian Mariotti: Thanks, and good afternoon, everyone. Funko had another fantastic quarter and got 2019 off to an even better start than we were envisioning. Our net sales were up 22% over last year better than we expected and better than what was implied in our full-year guidance. We also saw improvements in gross margin in the quarter, continuing to trend the last couple of quarters more of our sales growth flow through to the bottom line thus giving us greater operating leverage. We have now exceeded our internal forecast and analyst consensus for net sales and adjusted EBITDA for all seven quarters we have reported as a publicly traded company. And most excitingly, our future has never looked brighter. As you know, Funko is built and has thrived on the principle that everyone is a fan of something. And that Funko has something for every fan. This allows Funko to act as an index fund of pop culture. Funko's continued strong growth comes from the simple premise that we are uniquely positioned at the epicenter of pop culture, connecting licensers, retailers and fans. Licensers rely on us to connect them to their fans and to keep their content properties top of mine through a growing range of retail channels. Retail was relying as to bring fans into their stores, seeking way to interact with this content and our products. And most importantly, our fans rely on us to create and deliver a growing assortment of products they want in order to stay engaged with the content they love. No other company brings me such a fast fashion approach to pop culture the way Funko does. As we've been saying, content creation has been and is continuing to explode. The consumption of that content is also continuing to rise. Currently we see pop culture merchandise as a wheel with five main spokes that represent the sources of content, television, movies, video games, sports and music. The global business of pop culture is more than $0.5 trillion annually and when you include consumer spending on movies and concerts, recorded music, sporting events, subscription TV services, video games, comic books, anime and licensed merchandise. The amount that consumers around the world spend annually in these areas is more than the entire GDP of most countries. Tapping into this large global market, we are seeing rapid growth of our last five brand, softline products and accessories as a whole. Demonstrating the strategy of diversifying our product lines across the full assortment of our Pop! culture licenses is paying off. Our recent acquisition of Forrest-Pruzan Creative, now called Funko Games in the board game space is another example of our strategy to grow and diversify our revenue. Although we expect sales of Funko Games this year to be immaterial to our overall results, we are encouraged by the fact that the retail response to our entrance into this space has exceeded our own optimistic vision. Our demonstrated expertise in licensed properties, makes us a natural transition. I'll remind you that the average age of our consumer is 35. In addition to dominating this adult demographic of fandom, Funko plans to continue increasing our offerings for younger audiences. Our success over the last few years as the Master Toy Licensee of properties like Five Nights at Freddy has given us access to different customers and isles to major retailers globally. Our success with Five Nights and the positive reaction retailers have shown to our board game initiative has fueled our commitment to creating our own proprietary products in the toy space, utilizing our 150 world-class in-house artists. You've heard us talk about how we have been incubating our own internally developed Wetmore Forest property, which you expect to see at Barnes & Noble in late Q2. Our plan for this offering is to include a broad line of products in the form of figures, books, plush, games and puzzles and will be supported with short form video content from Funko Animation Studios. We've also been working on several new original toy lines. As we develop these product lines, we plan to leverage our proven expertise in creative design, sourcing, distribution and original animated content from our own studio and expect to launch some of these products in 2020. We've also been investing in building our own brand, including our own direct-to-consumer strategy. As we previously announced, we expect to open our second retail store, this one in Hollywood by year end. Our original store in Everett, Washington headquarters was our first foray into retail-tainment and it's been a fantastic proof point for how interactive retail merchandising can succeed and build awareness of our brand. The plan for Hollywood store is to take what we did in Everett to an entirely new level. This design includes themed worlds and larger-than-life experiences that will allow the fans to interact with their favorite Pop! culture content. Another significant brand initiative so far in 2019 has been the roll out of our Funko app, which we launched toward the end of the first quarter. The Funko app debuted at number 14 in the lifestyle section of the Apple app store and reached nearly 1 million downloads in 155 countries in the first three weeks it was available. We think the app will allow our fans to engage with our brand and discover our array of products making, collecting and purchasing our products easier and pave the way for more significant expansion in our own direct-to-consumer business. In addition to our goal of sustaining high rates of sales and profit growth, our goal over time is to continue to expand into adjacent categories to further grow the percentage of our business that comes from international markets and to increase the portion of our revenues that come from our own IP. If these efforts succeed, we should not only be able to sustain high rates of sales growth, but we should also meaningfully improve our margins. Before I turn the call over to Andrew Perlmutter, our President, let me take the opportunity to thank all of our team members who have contributed to our terrific growth as well as our retail and licensing partners. Most of all though, thank you to our fans who's passion for entertainment content and for our products is the number one reason why we exist and why we succeed. Andrew?
Andrew Perlmutter: Thank you, Brian. Our partnerships with our retailers around the world are one of Funko's key strengths. As Brian mentioned, we connect our fans with their favorite content through our retail partners. Funko's unique ability to drive traffic to our retailers is one of the elements that differentiate Funko from the competition. In addition to successful newly launched properties like Fortnite, Avengers: Endgame, Game of Thrones, and Captain Marvel, we saw continued ability to tap into our back catalog with Harry Potter, Star Wars and DC Comics. We saw increased year-over-year sales with our core retail partners across the board. These increases were partly driven by product diversification such as Loungefly and other softlines products as well as the introduction of higher priced items such as our 10-inch Pop! Vinyl, Movie Moments and Pop! Rides. With the shift in the timing of Easter and the release of Avengers and Game, which was a month later than last year's Infinity Wars, there was a shift in retail sales from March and April for those accounts where we have POS sell through data through April, our year-to-date sell through was up nearly 20% in dollars. We continue to increase sales in all of our major channels including mass, mall and other specialty stores, and we continue to open new accounts and cultivate expansive programs with larger existing customers. As an example, due to the success that we were seeing at best buy, we have expanded our presence and our expected to launch a branded Funko section in the second quarter. As part of our channel segmentation strategy, we are also building our programs like the DIY pop program at Michael's Arts and Crafts store. The Funko brand continues to resonate and expand globally. In addition to North America, we have seen double-digit increases in net sales year-over-year in Asia, Latin America and Australia. Australia is one of our most mature international markets, but our net sales in Australia were up over 70% year-over-year in the first quarter and as we've seen in the U.S. we are now seeing more interest from large mass Australian retailers such as Sanity Music, EB Games, JB Hi-Fi and BIG W. We continue to see strong growth in Europe and expect that to continue particularly with our space at hypermarkets set to double this year. We are looking for strong growth at several key strategic accounts this year including Primark, Tesco, Carrefour, EMP and [indiscernible]. Our fan engagement also continues to increase. Engagement across all social media channels was up 13% in the first quarter to $34 million interactions, which includes shares, likes, comments and clicks. Our reach across all channels for the quarter was strong at 1 billion impressions. Looking at some operational wins, we continue to prioritize the improvement of our systems for getting inventory from our factories to our customers with minimal delay and disruption. We recently defined a new organizational structure to transform our product development team. We believe this will allow us to improve our lead times and make them even faster. Being the fastest is not fast enough for Funko. We continue to see opportunities to make additional investments that we believe will improve our operations both in the U.S. and internationally as we seek to reduce the complexity and cost of getting our products to market. These investments include initiatives that were initially earmarked for 2020. But we now believe can be accelerated into the second half of 2019. This would result in increased costs for 2019 but should also allow for more of the benefits from these initiatives to be realized earlier than initially expected. We recognize that while we were performing and executing, there are areas that we can still continue to improve and we are committed to doing just that. Not just for what it means now, but also so that we can support the business and the long-term opportunities that we see in front of us. With that, I will turn the call over to Russell, who will review the details of our financial performance in the quarter. Russell?
Russell Nickel: Thanks, Andrew, and good afternoon, everyone. As Brian and Andrew have indicated, we delivered better than expected results for our first quarter due to broad based strong performance across product lines and geographies. We exceeded our own expectations on sales, gross margin and adjusted EBITDA. Net sales in the quarter increased 22% to $166.8 million and we're primarily driven by continued expansion of products and properties in our portfolio. In the quarter, the number of active properties increased 35% the $611 and net sales per active property where $273,000 which was down 10% year-over-year. As a reminder, we expect net sales per active property to fluctuate from time-to-time. We believe it is a good sign to see our sales spread over such a wide range of properties. The top performing property in the quarter was fortnight, which accounted for just over 10% of our total sales. Among our top 10 properties, three were based on evergreen content. Three were based on new theatrical releases, two were based on current TV shows and the other two were based on current video games. Not too similar to prior periods. Our top 10 properties accounted for 41% of total sales compared with 39% in the first quarter of last year. In Q1 just under 45% of our sales came from evergreen properties or back catalog content that is not tied to a current movie, video game or a TV show. That is fairly typical level for us. In the first quarter, no customer accounted for more than 8% of our total sales, which just highlights are diversification that we are not reliant on any one retailer and that our products are channel agnostic. On a geographical basis, in the first quarter, net sales in the United States increased 22% to $108.7 million and net sales internationally increased 20% to $58.1 million. As a reminder, a year-ago we were implementing a new ERP system in the UK and we intentionally pulled forward about $5 million in sales that would have otherwise shipped in Q2 of 2018. That pull forward of these sales into Q1 2018 have a 14 percentage point negative impact on our international net sales growth in Q1 2019. On a product category basis, Q1 net sales of figures increased 18% to $136 million and net sales of other products such as bags, accessories, apparel, and home wares increased 43% to $30.8 million. We saw continued strength and sales of Pop! Vinyl figures, which increased 21% on a global basis over the prior year. The fact that Pop! Vinyl a nine-year old product line is continuing to grow double-digits year-over-year is a testament to the platform that we have created the breadth of licenses and our continued expansion of shelf space, retail doors, and geographic markets. Additionally, the broader Pop! brand which includes other product lines was up 26% over the prior year. Gross margin which excludes depreciation and amortization increased 70 basis points from Q1 of last year to 38.1%. The increase in gross margin this quarter compared to last year was driven primarily by the negative impact that the toys are us liquidation had on our gross margin last year. In addition, this year we had lower product costs and shipping and freight costs as a percentage of sales offset by slightly higher royalty costs given the mix of properties sold. Like last quarter, we experienced higher charge backs in Q1 of 2019 than we did in the first quarter of last year. This was a headwind on our gross margin this quarter. In the quarter, selling, general and administrative expenses increased 17% the $40.8 million from the prior year. This was 24.5% of this year's Q1 sales and represented a 90 basis point improvement in SG&A expense leverage compared to last year. Depreciation and amortization expense in Q1 increased 9% from the prior year to $10.1 million. This was 6.1% of Q1 sales a 70 point basis point improvement as a percentage of sales. The combination of higher revenues, higher gross margin and lower operating costs and depreciation and amortization expense as a percentage of sales resulted in an improvement in operating income in the quarter to $12.6 million up to 77% from last year, reflecting significant operating leverage. Net interest expense decreased 31% to $4.1 million from $5.9 million in Q1 of 2018 due to reduce that levels and lowered rates obtained when we refinanced their debt in Q4 of last year. As a result of these factors, adjusted pro forma net income increased by nearly $7 million to $8.5 million compared to $1.7 million in Q1 2018. Adjusted pro forma earnings per diluted share was $0.16 compared to $0.03 and adjusted EBITDA increased 46% to $25.5 million. This represents a 15.3% adjusted EBITDA margin which increased 260 basis points over Q1 of 2018. Looking at the balance sheet, we ended Q1 with net debt of $224.6 million compared to $233.8 million at the end of 2018 and $235.2 million at the end of Q1 2018. Inventory was relatively flat compared to a year-ago at $75.4 million versus $74 million at the end of Q1 2018 and was down 13% compared to year-end 2018, despite sales being up 22% over last year in Q1. Turning to our outlook, while our Q1 results exceeded our expectations, we're not raising our full-year guidance at this time as it is still early and because we believe the accelerated investments in operating improvements will pull some additional costs in the 2019. Still we are highly confident that we will be able to achieve the guidance we issued at the end of February. As a reminder, we expect net sales of $810 million to $825 million representing the year-over-year growth of 18% to 20%, adjusted EBITDA of $133 million to $143 million, unchanged from prior guidance despite the earlier than expected investment spending on certain operational improvements that Andrew spoke off, and adjusted pro forma earnings per diluted share of $1.05 to a $1.15 which assumes a blended corporate tax rate of 25% and a weighted average diluted share count at 53.5 million shares. This too is unchanged from our prior guidance for the reasons just cited. With that, I would now like to turn the call back over to the operator to start the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Drew Crum with Stifel. Please proceed with your question.
Drew Crum: Okay, thanks. Good afternoon, everyone. So a number of puts and takes on the gross margin during the quarter. Is that a good run rate to think of in the out quarters or do you expect that to move around? And then secondly, could you comment - go ahead.
Russell Nickel: No, sorry. I'll let you finish it.
Drew Crum: Yes. Just kind of - separately was curious as to what you've seen, I know it's early, but we assume in terms of the Avengers performance this year versus last year.
Russell Nickel: So on the gross margin, I do think we will see, as we've said, we would expect that gross margin will have some puts and takes throughout the course of the year and overall for the entirety of the year, we would expect it to be in line with where we ended 2018. We saw some positive movement versus that in Q1, but we also saw why we saw higher FOB sales versus what we saw in Q1 of last year. It was lower than where we were in Q3 and Q4 of last year. So as that FOB mix shifts, there will be some play and some impact on gross margin.
Brian Mariotti: Yes. Drew, it's Brian. On the Avengers question, obviously the box office numbers were staggering for the first weekend. Our sell through has been a little bit better than previous years Avengers: Infinity War products. I think the biggest thing is that it looks like this might have a little bit of a bigger tailwind to it on the movie end and our second waver products are going to be much larger than the second waver products from Avengers: Infinity War a year earlier. So I think we're going to be able to monetize it a little further into the future, because there was a lot of ammo that was left off for us getting a pre look at, which was great. It surprised us and it gave us a lot of stuff to work on. I think the appetite is going to be there. So we're over obviously static at the movie performance and our performance with the products at retail.
Drew Crum: Okay. Thanks guys.
Brian Mariotti: Yes, appreciated.
Russell Nickel: Thanks.
Operator: Our next question comes from the line of Erinn Murphy with Piper Jaffray. Please proceed with your question.
Erinn Murphy: Great. Thanks. Good afternoon. [Indiscernible] I guess, I want to [indiscernible] you didn't talk about what the Walmart initiative and kind of rolling out deeper into the entertainment and DVD section. Could you talk a little bit more about how that's performing and kind of what the consumer response has been? And maybe, I don't know if you've had it, but where is your average linear, but currently at Walmart versus Target?
Russell Nickel: So I can take that one. Thank you for the question. I can tell you that our program with Walmart is meeting or exceeding expectations. Without going into too much detail about the performance of any one retailer, I can tell you that Walmart is happy with it. We are in the process of rolling out a couple of really big programs right now. For example, Avengers: Endgame. There's a program around Game of Thrones. So we're excited about it. We think that there's more opportunity in front of us with Walmart, not only to take our existing space and continue to build ways on - make ways to make it more productive. But also we're looking at other space around the stores, as we mentioned in new categories like the games category and a couple of other new ventures that we're looking at. So we're bullish on the relationship. We're happy with where it is. I can get back to you on the average linear footage. It changes a year-over-year and without going into too much detail, I can tell you that, that should be, that should be increasing over the next 12 months.
Brian Mariotti: Yes, Erinn, it's Brian. I think it's a lot like we thought it was going to be, we saw how the target initiative five years ago grew and grew and then there with the incremental opportunities in different departments and we're seeing the same thing. I think the power of what we can do. The people we can bring into Walmart, typically in the brick and mortar stores. The rather quick sell through on special exclusive as in and programs is really got their appetite up. So we're doing everything we possibly can to make this relationship great for the future to come, but it's off to a start.
Erinn Murphy: Good to hear. And then maybe just on lounge by Brian, you talked about that at the beginning of repaired remarks in terms of their. Can you talk a little bit more about kind of where the growth is coming from? I kind of wet the distribution footprint looks like today for Loungefly, and if you can kind of how big that business is now?
Brian Mariotti: Yes. I mean it's basically doubled since we bought it, just pre-IPO. The big thing for us has been just injecting the Funko DNA, making sure that they're aligning with our brand calendar, getting the information on the products that they're making out to us at the mothership. So that we can help them with sales internationally, because they didn't have a footprint internationally, making sure that they make the right products at the right time and hit the timelines. For example, I think they released all their Black Panther product, six months after the movie came out last year. So these are the things that that we've managed to course correct. And we've added some great creative people from a hybrid, which is a larger apparel company. Then I'm probably the largest in our industry. Two of their big people came over to Loungefly to help continue to guide that business. So we're just seeing better alignment with all of our programs on all of our retailers, better international sales, more timely development and really just true alignment with what Funko's initiatives are. I think all those are really allowing the business to grow as fast as we hoped it would.
Erinn Murphy: Got it. And then Russell, one for you, just going back to the gross margin, I just want to - you can maybe break it out into different ways to us 70 basis points. If you were to take out the laughing of the Toys "R" Us impact from last year, where would growth margins have been in the quarter? Thank you.
Russell Nickel: It would have been about - I said believe it was about - would have been about $38.6, so it was about 50, would have been up 50 basis points higher. And then the impact that take that back down to kind of where we ended the quarter was driven by the higher charge backs that we saw lower than what we saw as we make progress, lower than what we saw in Q4. But it was higher than Q1 of last year, and then also the increase in FOB sales. I think it was about 25% of our sales in the first quarter of this year. We're from direct from the factory so.
Erinn Murphy: All right. Thank you guys, and all the best.
Brian Mariotti: Thanks Erinn.
Russell Nickel: Thank you.
Operator: Our next question comes from the line of Steph Wissink with Jefferies. Please proceed with your question.
Stephanie Wissink: Thanks. Good afternoon everyone. We have two questions. The first is maybe Russell for you on the investment. You can just help us think about where those land in the P&L, if it's a splitting gross margin or SG&A. And then maybe give it some perspective on when those investments start to feed into the model and kind of how they'll roll into 2020? And then one, I think Brian, for you on the app, just as we've been playing around with the app over the last couple of weeks, we noticed that there's definitely a collector angle to it. You can track value of some of the products and see some of the new releases. If we think into the future, is there the possibility that there is a marketplace that you develop for buying, swapping and trading some of your product? How should we think about that app is kind of a center connector for your collectors?
Russell Nickel: I'll take something that one first. Yes. So we are very happy about the early response and the undertaking we have, the first foremost this is - this is for the fans. This is to allow them in real time to understand what's being released how to track and more importantly deeply to the products, whether it's from a Hot Topic or a hottopic.com, or a Walmart, or a Target, or a Barnes & Noble or whatever or back to Funko shop, the ability for one bit of information to link to wherever that product is truly helpful. And I think it's really going to be the basis of our direct-to-consumer as we continue to grow that avenue. So I think we were super excited about that. I think you see the writing ahead in terms of a marketplace. And I think that we are looking into a lot of what's going on in our industry and sometimes outside of our industry like with retailers like go in StockX in that secondary market. And we're having conversations with eBay. So there's a lot of conversations going on right now for us to formulate a plan on that kind of a secondary marketplace. So and for trading, for collector to collector. So this is the beginning steps of a really great initiative and win for us. And our fans are loving it the numbers of people tracking their collections, it's just absolutely astronomical, but it's just the beginning. So we're pretty excited about what that's going to bring.
Brian Mariotti: Yes. And Erinn on the investments they would happen if we execute on them in the second half of the year and they would largely flow through SG&A, it would be a combination of certain one-time expenses as well as incremental expenses that would continue on into 2020.
Stephanie Wissink: Thanks guys. Appreciate it.
Brian Mariotti: Thanks.
Operator: [Operator Instructions] Our next question comes from line of Alex Parry with Bank of America Merrill Lynch. Please proceed with your question.
Alexandra Parry: Hey guys. Thanks for taking my question. I just have one here. Can you speak to the rollout of Funko at Foot Locker? We've noticed more sort of Pop! pictures within their store. You just elaborate on how many doors are in currently and what the plan is for 2019? And then just on top of that, can you talk through sort of the crossover and the core customer that you see with Foot Locker if there a core Funko customer? Thanks.
Andrew Perlmutter: It's Andrew here. I can take that one. So when we first started our conversation with Foot Locker, they had a specific vision in mind when it came to collectibles and they came to Funko as a resource, since then the dialogue has evolved rapidly. As you've seen, you're seeing more Pop! and other collectible fixtures rolling out to their stores. There's potential that you'll start to see other softlines products either from Loungefly or some of our other apparel plays in their stores as well. That being said, the number of stores is still relatively small, the Pop! shop, which is their main collectibles play. I believe that they're trying to roll that out. I think it's 180 or 120. I don't know that they've actually landed on an official number, but I think they have a goal between 120, 180 stores this year. So we're excited about that. As far as the product mix is concerned. Like I'd mentioned, we started sort of like all eyes on sports figures, whether they be the Michael Jordan that's sold out within a couple of minutes that crashed our website with LeBron James. Oddly enough, the most successful social media interaction the Foot Lockers ever had was our Post Malone figure, which is great. I mean, that's a musician outside of the sports world, so that's opened up a new door that they knew would be successful. They flew product in on their own dime to get that out to market first. Sold out very quickly, and like I said, it was our most popular retweeted, I believe it was retweeted social media posts.
Brian Mariotti: Yes. Alex, I think we see the customers are definitely different, but the same mentality the sneaker had are absolutely obsessed with collecting sneakers and all the information on the new releases. And so it's definitely opening up our market and enlarging our market. But the mentality seems to be the same. So they are dropping items like Miles Morales, Spider-Man Pop! at the same time there was a Nike at the CO-Lab, it did very, very well. So that mix in different demographic is running in parallel lanes with our collector base. So being able to cross into their lanes has been very, very exciting for us as we continue to broaden in larger marketplace. So we're excited about the relationship.
Alexandra Parry: Perfect. That's very helpful. Thanks guys.
Brian Mariotti: Appreciate it.
Russell Nickel: Thank you.
Operator: [Operator Instructions] Thank you. Our next question comes from the line of Tami Zakaria with JPMorgan. Please proceed with your question.
Tami Zakaria: Hi. Thanks for taking my question and congrats on a great quarter. I just have a really quick one. So you saw strong growth in the number of properties, but a decline in sales per property this quarter. So can you help us think about these two metrics for the rest of the year?
Brian Mariotti: Yeah, look, I think that we always release that information, because we think it's interesting to share, the diversity of our licensed portfolio. But again, one property for a musician like Amy Winehouse, [indiscernible], and so does the Avengers: Endgame, which we might have developed over hundred and some products. So for us the most important thing is leveraging more properties per quarter. So when you do that, you're obviously most of the time going to see a downward trend on dollars per property. But the healthy mix we're looking for is that we're continuing to leverage as many diverse properties as we can, which goes back to our model that everybody's a fan of something and we have something for everybody. So we'll continue to put those two metrics and we have, since we've been public. But I think the key thing to key on is how diverse the license bandwidth is. And it's very atypical to traditional toy companies like Hasbro and we don't focused on four or five unique properties, a Spin Master, a Mattel, we sport 1,100 different licenses and that's really the key to our success.
Tami Zakaria: Got it. Thank you so much.
Brian Mariotti: You bet. Great talking to you.
Operator: Thank you. We have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Brian Mariotti: Yes. Before I close, let me address our recent announcement that Russell will be leaving Funko at the end of the year. Russell has been with us for over 5.5 years during an amazing period of growth and transformation and we wouldn't be there where we're at currently today without them. And we wish him the best for his future endeavors. He leaves behind a phenomenal and strong financial team and we look forward to finding a great replacement. It's having over here - with having Russell here through the end of the year, I think we're going to have a seamless transition in a world-class transition. So just wanted to bring that up, and thank you again for everybody's interest and support of Funko, and we look forward to see some of you guys at Comic Con in San Diego in July, and speaking to you again in our second quarter earnings, if not sooner. So, thank you very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.